Operator: Hello, and welcome to Avangrid's First Quarter 2022 Earnings Conference Call. I would now like to turn the call over to Alvaro Ortega, Vice President of Finance, Investor and Shareholder Relations and Risk. Please go ahead.
Alvaro Ortega: Thank you, Emily, and good morning to everyone. Thank you for joining us today to discuss Avangrid's first quarter 2022 earnings results. Presenting on the call today are Dennis Arriola, our Chief Executive Officer; and Patricia Cosgel, our Interim Chief Financial Officer. Also joining us today for the question-and-answer part of the call will be Bob Kump, Deputy Chief Executive Officer and President of Avangrid; Catherine Stempien, President and Chief Executive Officer of Avangrid Networks; Jose Antonio Miranda, Co-CEO and President Onshore; and Bill White, Co-CEO and President, Offshore. If you do not have a copy of our press release or presentation for today's call, they are available on our website at avangrid.com. During today's call, we will make various forward-looking statements within the meaning of the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995 based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect or because of other factors discussed in Avangrid's earnings news release in the comments made during this conference call in the Risk Factors section of the accompanying presentation or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our website, avangrid.com. We do not undertake any duty to update any forward-looking statements. Today's presentation also includes references to non-GAAP financial measures. You should refer to information contained in the slides accompanying today's presentation for definitional information and reconciliations of non-GAAP financial measures to the closest GAAP financial measures. I will now turn the call over to Dennis.
Dennis Arriola: Well, thanks, Alvaro, and good morning, everyone. We appreciate you joining us for our first quarter earnings call. Let's get started with an overview of the quarter beginning on Slide 5. Now there's obviously a lot of things going on in the world right now that are impacting the energy markets, including the Russian invasion of Ukraine. We're seeing a number of factors such as record inflation, rising commodity prices, supply constraints, a tight labor market and an ongoing pandemic. They're all intersecting to create a challenging environment for businesses and customers alike. And while we can't control most of these factors, we have been proactively taking steps to mitigate their impacts to the extent we can. And our focus on operational excellence, cost and cash management and risk mitigation has never been stronger or more important. Now amid these industry and economy-wide challenges, I'm pleased to say that we had another strong start to the year. Our net income in the first quarter was $445 million, up 33% from the first quarter of 2021 and our adjusted net income was $450 million, up 27% year-over-year. And in just two years, our first quarter adjusted net income has grown by approximately 90%. We're continuing to execute on our strategic plan. And as a result, we're affirming our 2022 guidance of $2.20 to $2.38 per share, which includes the common shares we issued last year. Our first quarter results and outlook for the year are driven by the strong and predictable foundation of our regulated networks business, which in 2021 accounted for approximately 80% of our company's earnings. And over the last two years, Networks has recorded successive double-digit growth in net income and adjusted net income as a result of our ability to drive operational excellence throughout our electric and gas utilities. Additionally, we're executing on our rate plans and meeting our regulatory commitments to deliver excellent customer service and safe and reliable energy. And through technology investments and process improvements, we've made important enhancements to our customer service, resulting in a better experience for our customers and better outcomes for our business, including the successful removal of Central Maine Power's or CMP's 100 basis point ROE adjustment. Now while there's still more work to be done, we've made very good progress. In Renewables, we completed the strategic restructuring of our offshore wind joint venture partnership. This restructuring allowed us to take full ownership of our largest New England projects and created immediate accretive value through a post-tax gain of $181 million, which we booked in the first quarter. And as we explained in our fourth quarter call, this gain represents the incremental value of future cash flows related to our highly competitive initial investment. I'm also pleased to report that we recently executed PPAs with the Massachusetts utilities for a 1.2 gigawatt Commonwealth wind project and will soon submit those contracts to the Department of Public Utilities for final regulatory approval. We're also advancing the construction of 1.8 gigawatts of new capacity on and offshore. Across Networks, Renewables and our Corporate functions, our employee led Every Day Better Journey is in its second year, and it continues to enhance our operational effectiveness, enabling us to better deliver on our commitments, mitigate pressures on our business and create sustainable long-term value. We expect Every Day Better to generate incremental value of at least $30 million in 2022 with approximately $15 million to $20 million pretax falling to the bottom line. Now and into the future, our ESG&F focus is essential to our success. I'm proud that we're recognized by third parties like Ethisphere, for our leadership and corporate governance and our partnership with the Department of Energy's Better Climate Challenge aims to accelerate innovative solutions for tomorrow, demonstrating our continued commitment to the clean energy transformation. Avangrid aspires to become the leading sustainable energy company in the U.S. and we will continue to step up to the plate. Turning to Slide 6. Avangrid is first and foremost a regulated networks company. We are laser-focused on prioritizing the basics, driving operational excellence, safety, improving the customer experience and meeting our regulatory commitments. A challenging macro environment puts pressure not only on our business, but also on our customers. And while rising commodity costs are recoverable through periodic adjustment mechanisms, we still need to do everything we can to help our customers. This includes running our operations as effectively as possible. We've improved our storm response and rate recovery mechanisms over the last couple of years, and this has helped remove storm restoration expenses that impacted our earnings in the past. In addition, we've increased the productivity of our crews by up to 30 minutes per person per day. We're also improving the customer experience by enhancing digital tools, accelerating e-bill adoption and providing self-service payment options. These tools help increase customer satisfaction. They reduce cost to customers and they improve cash flow. And over the last year, we've increased our e-bill enrollment by approximately 25% to 1.1 million customers. Through the pandemic and now with current inflation and commodity cost challenges, we've actively worked with state and federal partners to help reduce bill impacts by securing nearly $150 million of direct government assistance in 2021 and 2022, identifying eligible customers and ensuring those customers are connected with available funds. In addition, we worked individually with customers to arrange flexible payment and balance billing agreements to promote energy efficiency measures and to sort a more affordable supply plan. As a regulated business, we're working to meet our commitments to regulators by delivering on our existing rate plans in New York and achieving our customer service quality obligations, which is reflected in the main PUC's removal of the 100 basis point ROE adjustment at CMP. We've also been working to resolve open CMP matters at the Public Utilities Commission, such as closing the original management audit investigation and working through the narrower – the review of the planning process. Looking ahead, we're focused on making the necessary investments to strengthen our system and address safety and reliability needs as well as minimizing the gap between our rate plans. We plan to file rate cases in all of our utility jurisdictions over the next 12 months to improve the quality of service to our customers and enable a clean energy future. And where required, we will be releasing notices on these filings shortly. Let's turn to Slide 7. We remain focused on working toward a successful outcome for both the PNM Resources merger in New Mexico and the NECEC transmission project in Maine, and we are executing on our legal strategy. Regarding PNM, we filed our notice of appeal and briefed at the New Mexico Supreme Court earlier this year, and the briefs may be followed by oral arguments at the New Mexico Supreme Court's discretion. For NECEC, we are continuing to challenge the unconstitutional referendum that passed last year and hope to get a decision this summer. We were encouraged by the substantial number of amicus briefs filed on March 30, which demonstrated the support of this project continues to have – we have from a diverse and distinguished set of stakeholders, including leading law professors, environmental groups, local municipalities, policy leaders and former regulators and legislators. We also received additional continued support on April 20 through filings by our main customers, our union labor and our partners. We remain confident in the significant benefits both the PNM merger and NECEC would bring to customers. At PNM, our merger would bring at least $300 million of benefits and support New Mexico's clean energy transition. And in Maine, NECEC would deliver clean energy, cost relief and stability to New England as families continue to shoulder the cost of high energy supply prices, which in many cases have risen 80% to 90% or even more. In fact, the delivered cost of energy from NECEC would be about one half the current standard offer rate in Maine. Turning now to Slide 8. We're proud of Avangrid's offshore leadership position in New England. With all three of our New England projects totaling 2.4 gigawatts owned directly, now contracted and our partnership restructuring complete. Construction of Vineyard Wind 1 is underway, and we're tracking well with our key milestones in 2022. And as we've discussed previously, basically, all the supply chain elements have been contracted for in Vineyard Wind 1 and the project's labor costs are either fixed or capped. This is another area where being ahead of the curve in offshore wind is paid off as our early execution of CapEx contracts for this project has helped us get ahead of the present supply chain and inflation challenges. In turn, we have three key advantages when it comes to addressing these types of challenges for Park City Wind and Commonwealth Wind. First, scale. Our strategic decision to advance Commonwealth and Park City has a single 2 gigawatt project, which would be the largest in New England and one of the largest nationwide will allow us to tap into synergies and unlock greater economies of scale when it comes to permitting and procurement. And the project's colocation within contiguous lease areas will add further efficiencies when we get to construction and operations. The second key advantage is technology. We're seeing significant advances in turbine technology that drive greater cost efficiency and optimization and project design. We'll be looking to leverage this improved technology to further enhance our projects. And lastly, timing. In periods of general market uncertainty, flexibility is essential. The CODs for these projects are still several years out and therefore we don't have pressure to immediately execute supply contracts in the current environment. Instead, we have headroom to assess the macro situation, engage with key suppliers and make strategic decisions on when to act. And because of these factors, we're confident in our return estimates for these projects, which we expect to reflect levered IRRs in the low teens. Now outside of New England, we also continue to make progress on our Kitty Hawk project off the coast of North Carolina and Virginia. And earlier this month, we filed the construction and operations plan, or COP, for the project's 1.7 gigawatt second phase known as Kitty Hawk South. We have an exceptionally strong and growing offshore team at Avangrid Renewables backed by the expertise, established track record and the purchasing power of one of the largest utilities in the world, Iberdrola. Iberdrola has 1.3 gigawatts of offshore wind currently in operation and projects that were delivered on time and on budget, with production exceeding their original expectations. Offshore wind is a proven technology that has been successfully deployed for years on a global scale. And Avangrid has the right skills and the right support to lead this industry in the U.S. Now let's turn to our onshore renewables business on Slide 9. Overall, we have approximately 1.4 gigawatts of projects with contracts, including approximately 1 gigawatt under construction. All of our planned 2022 projects are on track for COD this year. Our 201 megawatt Golden Hills wind project is fully constructed and will enter commercial operations very shortly. In the second quarter, we'll begin energization for the 194 megawatt Lundhill solar project. And we expect to reach COD in the third quarter. In 2023, we expect to add Midland 106 megawatt wind project. And additionally, we have approximately 535 megawatts of DC of solar projects already contracted and in advanced development. Now the issues around supply chain delays, potential tariffs and higher labor costs are generally impacting all participants in the market. And we're working hard with our customers and suppliers to minimize the impact to the extent we can. And when necessary, we'll adjust the COD dates of those impacted projects to reflect the realities in the market. As we move forward, our top priorities on our onshore wind will continue to be operational excellent discipline growth and risk management. Again, the supply chain challenges, inflation or potential anti-circumvention tariffs are issues generally facing all of us in the industry. And in some cases we've heard that some of our competitors are entering into PPAs before completing development or arranging for supply. Now, given the current environment, we've been taking, what we believe is a much more prudent and disciplined approach to evaluating new PPAs and keeping to that strategy will help us mitigate the current market risk. We will not pursue growth at any cost. But instead we're aligning our PPA execution with supply contract certainty and working with customers and suppliers on the right projects for the current market conditions. We're also working to address anti-circumvention risk through our trade organizations. We remain focused on making the right investments at the right time. Now turning to Slide 10. And before I hand it over to Patricia, I'd like to bring you back to what we call ESG&F. And our aspiration to become the leading sustainable energy company in the U.S., because this is really our North Star as a company. We've seen a lot of uncertainty and destruction in the world over the last couple of years, but we're certain our ESG&F strategy puts us in the right places at the right time to continue to accelerate the clean energy transformation. Avangrid was the first utility to set a goal for carbon neutrality. And even as our peers begin to follow the past half we set years ago, we remain one of the nation's cleanest utilities with an emissions intensity six and a half times lower than average. We've set bold goals with committed actions to achieve them. And our leadership in this area has been continuously recognized by organizations like Ethisphere, JUST Capital and CNBC. And most recently Avangrid was the inaugural investor owned utility to join the Department of Energy's Better Climate Challenge. In addition to our previously announced commitments, and as part of this challenge, we've pledged to reduce Scope 1. And for the first time Scope 2 emissions, at least 50% over the next 10 years, and to reduce our facilities carbon footprint at least 20% also by 2032. And through this process, we're going to work alongside the DOE leveraging the deep technical expertise of its national labs and a diverse group of participants representing a range of sectors to share and accelerate innovative solutions and successful decarbonization strategies. We know that an economy-wide energy transition will require collective effort. And we're committed to providing a leading voice and driving real world action. And with that, I'll turn it over to Patricia to take you through the financial results.
Patricia Cosgel: Thank you, Dennis. Good morning, everyone, and thank you for joining us today. Turning to our financial performance and highlights for the first quarter of 2022 on Slide 12. I'm pleased to report that Avangrid is continuing to achieve its financial expectations. In the first quarter of 2022, we produced net income of $425 million or $1.15 per share, an increase of 33% from the first quarter of 2021 and 85% from the first quarter of 2020. Our adjusted net income was $450 million or $1.16 per share, an increase of 27% from the first quarter of 2021 and 91% from the first quarter of 2020. In the absence of our restructuring transaction that occurred in the first quarter of 2022, adjusted net income would still be up 14% from the first quarter of 2020. These results demonstrate strong earnings growth year-over-year. And with this foundation for the year, we are affirming our 2022 earnings guidance of $850 million to $920 million and $2.20 to $2.30 per share. As you can see on the next slide, each of our networks and renewable businesses realized double digit growth in net income and adjusted net income from the first quarter of 2021 to the first quarter of 2022. For the first quarter of 2022 networks, our largest business segment produced adjusted net income of $254 million representing growth of $25 million or 11% compared to the first quarter of 2021. The key driver of the strong networks results was a successful implementation of our rate plans for the New York companies, which increased adjusted net income by $16 million for the first quarter of 2022, compared to the first quarter of 2021. Note that we also successfully met all customer service metrics targets in Maine, and we were able to lift a 100 basis point penalty effective in February. This improved the allowed ROE to 9.25%. While the rate increases were the primary impact and increasing capitalization of personnel expense and a lower effective tax rate also had a positive impact in the year-over-year comparison, offsetting higher depreciation business and labor costs primarily related to rate plan commitments and investments. The significant quarter-over-quarter increase in renewables adjusted net income of $88 million to $211 million for the first quarter of 2022, compared to the first quarter of 2021 was largely due to the restructuring of the partnership agreement for our New England offshore wind lease areas, which as we discussed on our February earnings call closed in January of 2022. A gain of $181 million within our expected range of $175 million to $200 million was generated from the re-measurement of our previously held interest in the Park City Wind and Commonwealth Wind projects, plus the sale of our interest in the least area 522 above book value, which will be depreciated over 25 years. In the year-over-year comparison, the benefit of this restructuring was somewhat reduced by the strong performance in the first quarter of 2021 by our wind assets during Texas formulary which contributed $83 million. Additionally, the production of our wind fleet was marginally higher during the first quarter of 2022 with an approximate 7% increase in gigawatt hours across most regions adding 7 million year-over-year. Offset to production included, depreciation, thermal and asset management personnel and other costs. On the next slide, we wanted to highlight that we are closely managing the macroeconomic elements, driving the environments that we operating in, including impacts of inflation and commodity costs that on our expenses and our customer bills. As we highlighted in this presentation in network, while commodity costs are passed through in each of our utilities, we are also supporting customers to educate them on energy efficiency measures and available payment plans. And we have directly assisted in facilitating their access to federal and state government aid. In renewables, we are securing supply contracts early to mitigate the exposure to project returns from inflation, and we are approaching each new project with a discipline focused and not just seeking to add megawatt. We closely work with our suppliers to ensure availability and leverage the global economies of scale we have through Iberdrola. With respect to financing, we have prefunded our equity in 2021. And we have been funding the utilities with the issuance of bonds that allow for pricing with a delayed draw feature, which effectively secures the interest rate in advance of the issuance. Importantly, as we highlighted last quarter, we are continuing with our Every Day Better program we started in 2021, which is a value creation and cost mitigation program. In 2021 Every Day Better delivered 40 million to 50 million in value with approximately 30 million of pre-tax earnings contributions. And as Dennis noted, we expect to generate an incremental 30 million of value in 2022 with approximately 15 million to 20 million of pre tax earnings. Last year, we successfully delivered improvements in field productivity under this program up 30 minutes per day. We improved renewables, energetic availability, and we also executed on cost savings attributed from examples such as contract claims improvement and O&M process improvement. Moving on to update to our financing, liquidity, dividends and credit ratings on the next slide. We continue to finance our growth cost effectively with our access to diverse and green financial resources. In January, United illuminating close on the funding of a $150 million green bond that was priced in 2021 at a fixed interest rate of 2.25%, including all of Avangrid’s green bonds issued at the parent and the utilities. Avangrid currently ranks as the third utility and outstanding green and sustainable financing in the U.S. NYSEG recently reissued a $67 million tax exempt bond, which closed in April at a yield of 3.3%, which we estimate to be about 40 basis points below the benchmark for taxable bonds. And I'm also excited to report that Vineyard Wind 1 financing close, which was completed in 2021, received another award, the North American Renewables Deal of the Year Awarded by IJGlobal, a recognition of our position as first mover in offshore wind financing. As you know, we issued 4 billion in equity in May of 2021, which we have been using to fund the capital investments in our networks and renewable businesses. As we noted in February, our February capital investments for 2021 were 3.3 billion, and we expect similar spend in 2022. At the end of the first quarter, we had approximately $650 million of cash, which along with our ongoing cash from operations, debt at the utility level, tax equity financing at renewables and our 2 billion commercial [indiscernible] programs, we will continue to fund investments and dividends to the remainder of the year. With our predominantly regulated business mix access to multiple sources of funding, strong liquidity profile, and the backing of our parent, we are committed to maintaining solid investment grade ratings. At the Avangrid level, our ratings are all unstable outlook and at the utility level, Moody's recently increased UI’s outlook to positive and affirmed CMP’s rating with a stable outlook. And S&P maintained its ratings and outlooks on UI, CNG, SCG and Berkshire Gas. Finally, our dividend policy remains unchanged targeting a payout a 65% to 75%. And our Board recently declared a quarterly dividend of $0.44 per share payable on July first. In summary, we've had a strong start to the year with our financial results, reflecting the execution of our rate plans in our core networks business and the value generated by the optionality and our renewable business. We are closely monitoring the macro environment and the impact to our companies and the industry, and have taken action to mitigate this were possible to support our customers to drive across out of the business and to maintain a disciplined and diversified investment strategy. We believe this thoughtful process complements our strategic plans and supports our aspirations to become the leading sustainable energy company in the U.S. Thank you for joining us today, as we update you on our progress towards executing those plans. And before I turn the call back to the operator, I just want to thank Dennis Arriola for his service to this company and all of the contributions he's made. This is his last earnings call and we wish him well.
Dennis Arriola: Thank you.
Patricia Cosgel: I'll now handle the call back to our operator for questions followed by closing remarks from Dennis.
Operator: Thank you. [Operator Instructions] Our first question comes from Richard Sunderland from JPMorgan. Richard, your line is open.
Richard Sunderland: Hi, good morning. Thank you for the time today. Maybe starting with the renewables comments and sort of growth at any cost commentary you offered, just thinking about your anti-circumvention. Is there an outcome around the 2023 projects where you either have to renegotiate the PPAs or otherwise walk away, just trying to think about the relative risk to those projects? Thank you.
Dennis Arriola: Thanks, Richard. This is Dennis. Look, I think that as I mentioned in my comments and you guys obviously are following this industry-wide, this impacts everybody. And so, we've been spending a lot of time talking to customers, talking to suppliers, making sure everybody is up to speed on what's going on there. As I mentioned in my opening comments, we've got approximately 535 megawatts of DC projects that we were looking to start the construction and then potentially bring into – onto the portfolio in 2023. Depending upon the overall timing, obviously, we're going to have to talk with customers on what happens from the Department of Commerce's final investigation. I know from discussions that we've had in Washington that the Biden administration is very focused on trying to get this resolved as soon as possible because any holdup in a decision is going to impact the President's plan to continue to grow renewable and clean energy here in the United States. So I think there's a lot of interested parties in trying to get this thing resolved as quickly as possible. But I'll ask Jose Antonio to see if he wants to provide a little bit more color on just how we're thinking about our customers and those projects.
Jose Antonio Miranda: Thank you, Dennis, and thank you for the question, Richard. Well, first, I would like to reiterate that thanks to our discipline and proven way of investing output in all the projects that are expected to CRE in 2022. We are not going to experience any delay because of anticircumvention. And this is, I think, good news about the project for 2023. We are starting conversations with our customers and our suppliers. So far, the response has been very positive in understanding the dynamics of this issue is an industry-wide issue that is affecting all of us, and we have to navigate together. And no one is showing any willingness and not to do the project. So far, as I said, the response in the sense of going on with the project is good and we will see what is the response of the Department of Commerce about the claim that was filed. Our expectation is that they will be quick in resolving this consultative period for the industry.
Dennis Arriola: The other thing, Richard, we're not going to get into the particulars of every contract and what fees there may be for delays. I think it's pretty clear that customers want the power. Whether you're a commercial, industrial customer, whether you're a utility, you want the power. You want a clean power as soon as possible. And there as cognizant of what's going on in the industry and the potential impact of higher tariffs. So I'd say that everyone is kind of holding hands on this thing, trying to – waiting for that decision to come from the Department of Commerce. And I'd say, so far, we've found a very open-minded customers that we're working with that want to get through this period.
Richard Sunderland: Great. That's very helpful commentary. I mean switching to networks, it looks like the capitalized labor rates are changing. I'm curious if you could speak to sort of what's going on there in the backdrop. And is this matching what's proved in your rate plans right now? Just any color on the change there would be helpful.
Dennis Arriola: Yes. I think like most companies, we review our capitalization policies on an annual basis to make sure that they are consistent with the work that's being done and obviously proper from a U.S. GAAP perspective. But Catherine, I don't know if there's anything that you want to add to that extraordinary that's driving additional capitalization expenses.
Catherine Stempien: Sure, Dennis, and thanks for the question, Richard. You're right on with respect to the comments that you made on our capitalized investment. As we're making more investments to comply with the commitments that we made in New York, those are capital projects. And so, it's natural to see our labor reflects the increased capital that we're spending throughout the networks business.
Richard Sunderland: Got it. Thank you. That's helpful. And maybe just a final cleanup question. The offshore wind gain, the taxes on that, was that cash taxes on the quarter for the gain?
Patricia Cosgel: Yes, that's correct. They'll be in the first quarter.
Richard Sunderland: All right, great. Thank you for the time.
Dennis Arriola: Thanks, Richard.
Operator: Our next question is from Insoo Kim from Goldman Sachs. Insoo, please go ahead.
Insoo Kim: Thank you. The first question is just on your slides on considerations for different cost inflation and managing that process. Just could you give us a little bit more color whether it's on the Network side of the business or on the Renewable segments, versus when you provided us with the guidance for the year on 2022, how much management do you think is necessary to offset some of those impacts we're seeing now that's already been considered when you gave guidance versus amounts that may be more impacted going forward?
Dennis Arriola: Yes. Insoo, let me touch on that kind of generally. I think that as we put together our original guidance for 2022, we were obviously looking at what was starting to be a much more inflationary environment. I think most of us in the industry had already started to experience what was going on from a supply chain standpoint. So I don't think anyone is overly surprised there. But if you try to break it up on the impacts between our Networks business and our Renewables business, I'd say in our Networks business, we're going out to bid. We're getting the bids for the contracts that we need. They're reflected in what we're spending and putting on the balance sheet. I think we're cognizant of the fact that costs are going up, but it's all falling within, for the most part, the ranges that we've given so far. I mean, Catherine, I don't know if you want to share anything else on the Networks side that you see from the inflationary pressures.
Catherine Stempien: Yes. No, I think that's right. First of all, of course, it's commodity prices, whether or not that's natural gas prices for our gas business or power prices for our customers, those are flow-through costs. So any inflationary impacts are just a pass-through to customers. But with respect to execution of the projects that we have, Dennis is right that within the range of our expectations on our ability to commit those projects. But I'll also mention that that's exactly why we look at programs like efficiency program like Every Day Better. That has provided us with opportunities to help offset some of the inflationary pressures that we see to continue to meet our overall targets with the networks.
Dennis Arriola: And I think on Renewables, and Jose Antonio can jump in on this. I mean, for the projects that are under construction here that will reach COD in 2022, we've got nearly all of the panels and the turbines that we need. I think like everyone else, we're seeing some pressure from contractors on labor rates. And there are some challenges on getting the right people in the places where we need them. But again, given the range that we've given for 2022, it all kind of falls within there. So Jose Antonio, I don't know if there's anything else you want to add?
Jose Antonio Miranda: That is accurate comment, Dennis. From the cost point of view, inflation, as you said, is not hitting us because most of the materials that we use in the construction are already there, we've already purchased. And also, I want to signal here that the inflation has a positive side. 50% of our PPA, they get review with the inflationary indexes. Also the PTCs are review up because of inflation. And even if we by design don't have a large exposure to merchant prices, but the merchant [indiscernible] also a clear tendency to be up. So all in all, we don't see any concern on inflection of hitting our accounts in the P&L of 2022.
Dennis Arriola: And Insoo, I want to make sure that we clarify with Catherine's comments. Even though the cost of the commodities are a pass-through to customers, we're still focused on what we can do to help our customers reduce their bills. And I talked about the fact that we've been able to help arrange through light heat funding up to $150 million to help customers reduce their bills. We're doing what we can from an operational effectiveness standpoint to run our systems more efficiently, which reduces cost. This is all about customers. And we know that in these times, our customers are being impacted, and we're focused on what we can do to help them.
Insoo Kim: Okay. That's helpful. And so just my second question is on your balance sheet. And I guess, thinking about potentially what happens with PNM next year if it is successful in terms of you guys acquiring it. You have $600 million of cash on the books as of the first quarter. You've been, I think, whether it's a combination of paying down debt or using that for your investments, you've been utilizing that. So PNM acquisition does go through sometime next year, let's say, how do we think about financing the deal at that point?
Patricia Cosgel: Hi, Insoo. This is Patricia. First, I'll just start with first. So we don't have any plans to issue equity in 2022. And we're actually efficiently deploying the equity that we issued in 2021 on the investment, as I mentioned during the prepared remarks. But I think I would make it broader than that. I mean, not just to fund PNM, but as we look at PNM and other attractive growth projects that we have from 2023 through 2025, we're going to consider a whole range of funding options in addition to debt. We'll look at non-debt financing alternatives. And we talked a couple of times that that could include not only what you would typically consider such as equities and preferred stock and hybrids and tax equity, but also we're going to look at asset recycling opportunities as we evaluate our onshore and our offshore development pipeline and we create value through monetization and partnerships.
Dennis Arriola: The other thing I'd add to Patricia's comment, and we saw this in the New York Bight auction, there are a lot of players, whether they would be operational companies, financial companies, institutions and pension funds that want to be in the renewable space. And I think now that we control our own destiny by having 100% of Commonwealth Wind and Park City, and we also obviously have 100% of Kitty Hawk, which could be up to 2.5 gigawatts, we have the ability and we've talked to people about coming in as partners. And we'll consider that. And if it makes sense, we'll do that at the right time, which will also reduce our overall capital outlays. But as we're looking at onshore, we know that there is others that want to grow in that business as well. And if it makes sense to go into partnerships or to monetize certain assets that make more -- that have more value to others than they do to us, those are things that we're going to look at. So I think I feel like we've got a lot of arrows in the quiver to be able to look at our capital needs for the future.
Patricia Cosgel: And then I just wrap up on highlighting PNM. When we are successful with that, that was – that project, not only are we looking at funding it, but we have to consider it will contribute positively to our earnings.
Insoo Kim: Right. Got it. Well, Dennis, it's been a pleasure. Good luck with the next phase of your career.
Dennis Arriola: Thank you, Insoo.
Operator: Our next question comes from Michael Sullivan with Wolfe Research. Michael, your line is open.
Michael Sullivan: Hi, good morning. First question, any update you could give on when the timing might look like for a refreshed long-term outlook or potential Investor Day?
Patricia Cosgel: Let me take that, okay. Hi, Michael. Again, it's Patricia. So we're evaluating that right now and I don't have a date for you at this time, but I would focus you on a couple of points that are driving our long-term expectations. First, I'd say that to consider our strong ongoing execution and the achievement of our financial expected results, as we've demonstrated today, we have a 91% increase in our adjusted net income since 2020. So we have been performing well against the targets that we'd already laid out. We'll continue to manage the Networks business to achieve successful results through investments in our safety, reliability and resiliency and to facility connects in the renewables to the grid. We will be filing rate cases in all of our utilities over the next 12 months and we'll continue to drive efficiencies in that business. In Renewables, remember, we have an over 23-gigawatt pipeline. And while we are focused on disciplined growth, we have strong prospects for both growth and that's not only onshore for wind and solar, but also in offshore. And then again, on NECEC and PNM, those projects have obviously shifted, but we still see them as great projects with significant support and we look forward – moving forward with both of them and we believe that they'll successfully contribute to our earnings. So I think those are some of the key things to focus on, on what – how we would look at our long-term outlook in addition to some of the funding potential and the partnership opportunities and value creation opportunities that we have. But other than that, we'll let you know as soon as we have the date.
Dennis Arriola: The other thing, Michael, that I'd say there is if you look at the opportunities for the company in the future, they're primarily organic. They're identifiable. We've got the rate cases that we're going to be filing, as we said, in all of our jurisdictions over the next 12 months. And I think that with the continued focus on increasing resiliency and reliability in all of our systems and all the states where we do business, I think there's going to be opportunities to continue to invest there. Patricia touched again on PNM and NECEC. We're going to have more information, we believe, on NECEC this summer. And based upon our expectations, that's going to be a project that should get started again here relatively soon. PNM is – it's a company that continues to function well and grow and we're excited about the opportunity to add that to the portfolio. And then for the longer term, with the restructuring of the partnership and offshore, we've got additional opportunities to continue to grow from identifiable project. So I think the future looks very bright. I think there's going to be more clarity that we – the company can share here in the coming year on what 2023 and beyond 2023 look like.
Michael Sullivan: Okay, great. Thanks. And maybe just going to the rate cases that you’re planning to file, could you just give a little more color on what’s driving that or are certain jurisdictions requiring it? Do you need to kind of catch up capital and recovery and when you factor in the fuel costs, which are pasture, what kind of level of rate hikes are looking at here?
Dennis Arriola: Yes, let me hand it over to Catherine, as you can appreciate since we haven’t filed any notices that we’re somewhat reluctant to talk about any potential rate increases. But we’re obviously cognizant of that, given what’s going on with commodity costs and everything. So, Catherine, if you want to provide a little bit of color.
Catherine Stempien: Yes, absolutely. So, we’re focused on making necessary investments to strengthen our systems across all of our jurisdictions. As Dennis pointed out, we need to address safety, reliability, resiliency needs. We are committed to be providing strong customer service and we also want to be making sure that we’re supporting our state’s clean energy policies. All of that requires investment into our system. Of course, we’re always looking to balance those investments with the affordability of our customers. And you’re absolutely right in pointing out that there’s been stress on the total bill as a result of it increase in commodity prices, really proud of the team’s work in getting funds into customers’ pockets to help them with their energy bills. We’ve worked closely with the state of Maine in working for, with them to get those state access dollars into low income customers’ pockets. We’ve all also been working in New York and they just passed legislation for $250 million to be allocated to customers. And we look forward to working with the state and with agencies across the state to be helping our customers alleviate some of the pressure that they’re seeing. But of course it always, we need to look internally at what we’re doing to make sure that we are operating as efficiently as possible, and that we’re prioritizing our investments to balance that need for the system need to continue with energy – clean energy policies with that affordability. And as we work through the year, we’ll be continuing to make those prioritizations. But when I look about look at the investments that we’ve made across the jurisdiction if you think about New York, you’re looking to minimize the gap between our rate plan and we’re currently working under our last rate plan settlement. So that will be taking us through 2023. So we’re looking to minimize the gap there and in Maine and in Connecticut, Connecticut, we’re in a rate stay out right now. And that will be expiring. So looking at the capital needs for the state of Connecticut. And then of course in Maine, as I mentioned, looking to continue to focused on the reliability and the resiliency of the system for the benefit of customers and recognizing that those capital investments ultimately will need to be working with our state public utilities commission to get some of those investments captured in rates.
Michael Sullivan: Great. That’s helpful. And just quickly my last one on shifting over to Vineyard Wind on the construction progress there, any sense of when we might have a better feel for when within the years in terms of first turbine in 2023 and COD in 2024, or has there any – has there been any shifting with within the years?
Dennis Arriola: Let me ask Bill White who’s intimately familiar with that to answer the question.
Bill White: Yes, good morning, Michael. The schedule actually remains on track. The project is as you know started construction last year. It’s moving forward a couple milestones just recently hit as Dennis articulated. But we are expecting first power in 2023 to probably toward the second half and COD in the middle of 2024.
Michael Sullivan: Great. That’s very helpful. Thank you.
Dennis Arriola: Thanks, Michael.
Operator: Our next question comes from Julien Dumoulin-Smith from Bank of America. Julien, your line is open.
Julien Dumoulin-Smith: Hey, good morning team. Thanks so much for the time. And Dennis, it’s been a pleasure here. In fact, if I could just pivot to the – some of the updates strategically here just Dennis, if I can ask you why the departure here, can you talk about that for a bit. And then also maybe about the CFO searching process. And then if you can come back to the timeline on the wider update here. You alluded to some of the more discreet items to Avangrid, is the Analyst Day/earnings update really tied to a more wholesome update from Iberdrola at this point? Or what specific timeline do you think we can kind of expect or tether ourselves to?
Dennis Arriola: Sure, let me start with my situation. It was a personal decision that I made and something that my spoke to my family about, and this was the right decision for me. And I’ve been very happy with what we’ve accomplished here, and we’ve been focused on a very smooth and successful transition to bring in Pedro Azagra as the CEO, Pedro, as many of you may know, is a long time utility energy expert with Iberdrola. He’s been on our Board since I’ve joined the company and he knows the company extremely well. So I’m very confident that Pedro is going to do a great job here. But again, for me, it was just – it was a personal decision. I’m proud of what we’ve been able to accomplish here over the last couple years and it’s time. As far as from a CFO standpoint you’re talking to our current CFO, Patricia, and the company hasn’t made a final announcement or a decision on the permanent person. Obviously, you’re listening to our current CFO and the Pedro and the Board will make the ultimate decision down the road. Let’s see, we had a lot of things on your list here.
Julien Dumoulin-Smith: And then the timeline for the wholesome update, if you will, right. It’s general, you kind of alluded to PNM and NECEC, but is it, should we expect those to be resolved here or is this more about coming up with a date and timeline for Iberdrola rather?
Dennis Arriola: No, I think there’s a couple things there, Julien. I think one is that there are a lot of moving pieces that we want to make sure that we can get more clarity on maybe not certainty, but clarity on. And we talked about the fact that we’re going to be filing rate cases and every jurisdiction as we finalize what those are, we’ll be including some of that information in our outlooks as well. Coordination with Iberdrola is important. I know that they made some comments, I can’t necessarily talk about what they their reasoning you’ll have to talk to them about it. But I think that for us, you have our 2022 numbers and for 2023 and beyond Patricia touched on what the main drivers are. So as soon as Pedro and the team feel that it makes sense to have an Investor Day, date will be set.
Julien Dumoulin-Smith: Excellent. And then just to clarify earlier on the offshore, we talked a lot about inflation elsewhere. Just specifically there, you guys talked about north of 4,000 to kilowatt historically, is that 4,000, like 4,500, or how’s inflation impacted that, are you guys still fairly confident on that prior disclosure here? Or how are you thinking about that right now if you can?
Dennis Arriola: I guess there’s a couple things. I’ll ask Patricia and Bill to jump in. It’s not easy to give an exact answer to that because as technology continues to improve and we’re seeing new larger, more efficient turbines come into play, and we’re talking to all the players that are talking about the very large turbines that are going to be happening in the second half of this decade, that impacts the overall cost as well. So I think it’s not necessarily clear to say that at 4,000 megawatt, that may be at today’s technology, but it’s not necessarily a tomorrow’s technology, but Bill, do you want to add anything to that?
Bill White: No, Dennis, I think you captured it quite well.
Julien Dumoulin-Smith: Excellent. Well, Dennis, it’s been a pleasure, thoroughly enjoyed all our interactions and at fireside and Patricia, you did a great job and the best of luck.
Dennis Arriola: Thanks. Julien.
Patricia Cosgel: Thanks. Before we actually jump onto the next question, I realized I needed to correct something when this is for Richard question about the Vineyard Wind. He asked about the cash taxes and I was focused on, I said, yes, I was focused on the first quarter impact. So it is a first quarter expense, but of course we’re not a cash tax there. So I just wanted to clarify that.
Operator: Our next question comes from David Arcaro from Morgan Stanley. David, your line is open.
David Arcaro: Hi. Good morning. Thanks so much for taking my question. Wondering if you could give any rough sense of how the earnings outlook might have improved with merchant power prices up so much recently for your unhedged volumes on the renewable side?
Dennis Arriola: Yes, let me just start David by saying that we’ve got roughly 85% of our renewables portfolio that is either contracted or hedged. So it’s roughly 14%, 15% that’s susceptible to market prices. But Antonio, I don’t know if you want to provide any more color on just what’s going on in the market there?
Jose Antonio Miranda: Yes. Well, first of all, as you say by design, because we decided this way, our exposure to the merchant assets, the merchant market is limited. And therefore for the good and for the bad we – price is going up or down, the impact is always limited in our P&L. Now it’s true as you are indicating Dennis that the forward curves that we are seeing now in the market, they are showing well important increases. So we hope that – and we expect that in the third from the three quarters coming now in this year. We will see possible pickups improvements in our P&L. Thanks to that. But again, this is, the wind is blowing in different intensity, in different locations. The crisis are very different from node to node. So this is another age [ph] is true, but then we have to see the impact when we aggregate location after location. But yes, the expectation is that we will see something because of that.
David Arcaro: Okay. Got it. Thanks. That’s helpful color. And then I was just wondering on pension, could you just give thoughts on where your pension stands in terms of funded status and whether there would be any earnings impact looking forward based on how the markets and rates have moved year-to-date?
Bob Kump: Sure. David, hey, this is Bob Kump. How are you? Our defined benefits, I’ll just speak to them in aggregate, because we still have individual pension plans for each of our utilities, generally speaking. We’ve over the course of the last several years in terms of the investments for those plans have been pretty conservative in terms of looking at locking in with is generally pretty good funded status. I would say generally speaking, we’re on average, we’re around 90%. So we’re going to continue to manage that. Having said that also, you should know that from a regulatory perspective, in many jurisdictions in particular New York, we have full true up accounting for pension expense. That the extent that pension expense changes from what was originally set in rates that gets deferred plus or minus. So we have very little exposure from a – from an overall P&L perspective. But we do manage those plans in a way to ensure that they’re well funded for the benefit of obviously our employees and also minimizing cost for our consumers.
David Arcaro: Okay. Got it. Thanks so much. And Dennis, best wishes.
Dennis Arriola: Thanks, David.
Operator: These were all the questions we have for today. So I now hand the call back to Dennis Arriola.
Dennis Arriola: Well, again, I want to thank everyone for joining us today. When I first came to Avangrid nearly two years ago, I committed to you that we would get back to basics that would focus on execution, drive accountability, and deliver results. And in that time we’ve accomplished a lot and I’m proud of it. And we’ve put into motion, great momentum for growth. Our company aspires to be the leading sustainable energy company in the U.S. And as I close my last earnings call as CEO, I can tell you my confidence in this leadership team, our employees and our company has never been stronger, with an attractive business mix underpinned by the strong and steady foundation of networks and a clear ESG&F strategy. The moment is right for a clean and connected energy company like Avangrid. Now, our task is to remain focused on execution and consistently delivering on our commitments. In networks, we’ve talked about it, but we’re investing in it to improve safety, reliability, and resiliency for our customers and continuing to work toward a successful outcome for our merger, with PNM Resources and for the completion of NECEC. In renewables, we’re delivering our leading New England offshore wind portfolio, including the construction of Vineyard Wind 1 and the development of Park City Wind and Commonwealth Wind. And we’re pursuing approximately one gigawatt under construction onshore. Patricia talked about this in our strong balance sheet and access to capital are going to enable us to efficiently fund our investments. And we’re going to continue to make improvements to help address some of the cost pressures through every day better and to drive operational excellence and manage the national and global challenges we’re seeing for the benefit of our business and our customers. Again, I want to say it’s been an honor and a privilege to guide this company, and I know that when Pedro Azagra takes over the helm as CEO, Avangrid will be in very good hands with a bright future ahead. I want to express a heartfelt thanks to all of our employees for your unwavering commitment and service to our customers during a really challenging period. And I’m really appreciate the support by all of you on this call over the last 22 months. And I certainly hope that our past crossed again. So thanks. And if you have any further questions, please follow up with Alvaro, Michelle or [indiscernible], stay safe and have a great day.
Unidentified Company Representative: Thank you, Dennis.
Unidentified Company Representative: Thank you.
Unidentified Company Representative: Thank you.
Operator: Thank you everyone for joining us today. This concludes our call. You may now disconnect your lines.